Operator: Good morning and welcome to Compass Diversified Holdings 2015 First Quarter Conference Call. Today’s call is being recorded. All lines have been placed on mute. [Operator Instructions] At this time, I would like to turn the conference over to Matt Steinburg of The IGB Group for introductions and the reading of the Safe Harbor statement. Please go ahead, sir.
Matt Steinburg: Thank you and welcome to the Compass Diversified Holdings first quarter 2015 conference call. Representing the company today are Alan Offenberg, CEO; Ryan Faulkingham, CFO; and Elias Sabo, a founding partner of Compass Group Management. Before we begin, I’d like to point out that the Q1 press release, including the financial tables and non-GAAP reconciliations is available on the company's website at www.compassdiversifiedholdings.com. The company also filed its Form 10-Q with the SEC last night. Please note that throughout this call, we will refer to Compass Diversified Holdings as CODI or the company. Now allow me to read the following Safe Harbor statement. During this conference call, we may make certain forward-looking statements including statements with regard to the future performance of CODI. Words such as belief, expect, project and future, or similar expressions, are intended to identify forward-looking statements. These forward-looking statements are subject to the inherent uncertainties in predicting future results and conditions. Certain factors could cause actual results to differ on a material basis from those projected in these forward-looking statements, and some of these factors are enumerated in the risk factor discussion in the Form 10-K as filed with the Securities and Exchange Commission for the year ended December 31, 2014 as well as in other SEC filings. In particular, the domestic and global economic environment has a significant impact on our subsidiary companies. Except as required by law, CODI undertakes no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events, or otherwise. At this time, I would like to turn the call over to Alan Offenberg.
Alan Offenberg: Good morning. Thank you all for your time and welcome to our first quarter 2015 earnings conference call. Our results for the 2015 first quarter were consistent with our expectation, as we generated predictable levels of free cash flow from a leading niche industrial and branded consumer businesses. For the three months ended March 31, 2015, CODI generated cash flow available for distribution and reinvestment which we refer to as cash flow or CAD of $15.5 million. At our niche industrial businesses, we continued to achieve combined sales and EBITDA growth, primarily driven by solid performances in our American Furniture and Arnold Magnetics subsidiaries. These businesses capitalized on their leadership positions and comparative financial strength to take advantage of attractive market opportunities. Our recent acquisitions of Clean Earth and SternoCandleLamp performed in line with our expectations for the first quarter and further demonstrated CODI's ability to acquire niche leading businesses that are accretive to CAD. Turning to our branded consumer businesses, while combined revenue and EBITDA were lower as compared to the prior year, we believe these businesses are well positioned for growth in 2015. At Liberty Safe, quarter over quarter comparisons are still negatively impacted by the industry downturn that began late in the first quarter of 2014. However, Liberty Safe had a dramatic improvement in revenue, EBITDA and EBITDA margins sequentially. We are [indiscernible] to right size Liberty, combined with the promising sequential increase in customer orders has this business poised to achieve growth for 2015. Additionally, as Elias will detail momentarily, although Camelbak reported softer than expected results for the quarter, we still anticipate this business with deliver a solid performance in 2015. When factoring in the consistently strong growth levels achieved at Ergobaby, we reiterate our expectation at our branded consumer businesses will deliver solid year over your earnings growth. It's worth noting that our results in the first quarter at our subsidiaries with international sales were negatively impacted by the strengthening US dollar relative to other European currencies. Definitely, certain of our subsidiaries experienced higher transportation costs in the first quarter of 2015 due to the well publicized port congestion on the West Coast. Although port congestion [publishes] risk to incoming shipments and they temporarily impact future results, we don't believe the impact will be material and we continue to work through these issues within the supply chain of our subsidiaries to ensure inventory is delivered on time at retail while we remain mindful of costs. For the first quarter, we paid cash distribution of $0.36 per share, representing a current yield of approximately 8.6%. Since going public in May of 2006, CODI has paid cumulative distributions of approximately $12.12 per share. Although our cash flow per share in 2015 first quarter was reduced to a level below our current distribution per share following the IPO by FOX in 2013, we expect that the acquisitions of Clean Earth and SternoCandleLamp as well as growth from our other businesses will result in CODI generating cash flow that exceeds our distribution on an annualized basis going forward. Additionally, we have realized gains of more than $340 million from opportunistic divestitures of CODI subsidiaries, which have never been included in our calculation of CAD. I will now turn the call over to Elias to review the quarterly performance of our current group of subsidiaries.
Elias Sabo: Thank you, Alan. I will begin by reviewing our niche industrial businesses. Please note that the revenue and EBITDA numbers I provide for Clean Earth and SternoCandleLamp will be on a pro forma basis, as if these businesses were acquired on January 1, 2013. Our niche industrial businesses continued to generate strong and predictable free cash flow. We reported a combined revenue increase of 6% during the first quarter of 2015 as compared to the year earlier period. EBITDA on a combined basis increased by 2% as compared to the year earlier period, however, the combined EBITDA margin declined to 12.7% for the quarter ended March 31, 2015 from 13.2% in the prior year quarter. Advanced Circuits posted consistent results that were in line with our expectations for the first quarter. Revenue increased by 3% year-over-year driven primarily by continued strong performance in assembly sales. First quarter EBITDA margins were lower by approximately 180 basis points compared to the year ago period and by approximately 120 basis points sequentially, reflecting a shift in sales mix. Arnold Magnetics reported improved results in the first quarter. Revenue increased 2% year over year, reflecting higher precision thin metal sales partially offset by the anticipated decline in sales of the reprographics component of the PMAG division. First quarter EBITDA at Arnold rose by 11% year-over-year, due to an increase in higher margin sales and a reduction in employee costs as a result of management's efforts to reduce its cost structure. At Tridien, first quarter revenue grew by approximately 2%, driven by higher sales of lower margin non-powered products. As a result, EBITDA was lower by about 37% compared to the year ago period. EBITDA was also impacted by higher production costs. During the first quarter, Tridien recorded an impairment charge of $8.9 million due to one of its largest customers not renewing its purchase agreement which represented 20% of Tridien's 2014 sales. At AFM, performance remained strong during the first quarter. Revenue increased by more than 17% compared to the year earlier period, representing the ninth consecutive quarter that sales have increased year-over-year. In addition, EBITDA grew by nearly 50%, supported by its strong backlog and solid demand levels for its products, we believe AFM will continue to capitalize on strong market conditions. At Clean Earth, first quarter revenue increased 14% and EBITDA increased 6% compared to the pro forma prior-year period, primarily due to the contributions from the December add-on acquisition of AES. Sales also benefited from an increase in contaminated soil volume, partially offset by a decrease in dredged materials due to the timing of new bidding activity. Clean Earth’s first quarter EBITDA decreased by approximately 100 basis points compared to the same period last year, primarily due to sales mix of services provided. SternoCandleLamp met our expectations in the first quarter. On a pro forma basis, revenue at Sterno declined by approximately 4% as a result of the timing of a large customer order. However, EBITDA was flat due to higher margins compared to the year ago period. The margin improvement was primarily attributable to greater labor and manufacturing efficiencies achieved during the 2015 first quarter. Next I will turn to our branded consumer businesses, which includes Ergobaby, Camelbak, and Liberty. The discussion of results to follow excludes the FOX results from 2014 as we no longer hold the controlling interest. Combined revenue and EBITDA decreased by approximately 4% and 8% respectively compared to the year earlier period. The combined EBITDA margin declined 70 basis points to 20.7% for the quarter ended March 31, 2015. Ergobaby continued to deliver strong performance for the first quarter, posting revenue and EBITDA growth of approximately 6% and 17% respectively as compared to the prior year period. Including Q1, this business has now posted double-digit earnings growth on a year over year basis for 10 out of the past 11 quarters. Ergobaby continued to experience strong demand for its latest product launches, led by its award-winning Ergobaby 360 the four position carrier introduced in early 2014. We are pleased with the performance of this business and remain optimistic regarding its future growth prospects. Liberty's first quarter was in line with our expectations. While first quarter revenue declined 11% compared to the year ago period, revenues were up 16% sequentially. The increase in sequential revenues reflects demand for premium gun and home safes returning to more normalized levels following the downturn that began late in the first quarter of 2014. First quarter EBITDA margins rose 40 basis points year over year and 660 basis points sequentially. Margin expansion in the quarter is a testament to Liberty's improved operational efficiencies reflecting the actions taken by its management team during the downturn last year as well as production volume returning to a more normalized level. Lastly, Camelbak's first quarter performance came in below expectations as the revenues decreased 5% and EBITDA declined 22% compared to the year ago period. While Camelbak continues to experience solid demand from its latest product introductions, sales were impacted by strong levels of shipments that occurred late in the fourth quarter of last year and reduced inventory available for sale as a result of the West Coast port congestion. Earnings at Camelbak were also impacted by the strengthening US dollar versus the euro and the British pound as well as increased freight cost as a result of the port congestion. I'd now like to turn the call over to Ryan to add his comments on our financial results.
Ryan Faulkingham: Thank you, Elias. Today, I will discuss our consolidated financial results for the quarter ended March 31, 2015. I will limit my comments largely to the overall results for our company since the individual subsidiary results are detailed in our Form 10-Q that was filed with the SEC yesterday. My consolidated revenue discussion will exclude FOX, which we believe is a more meaningful discussion due to the restriction on providing discontinued operations reported for FOX. On a consolidated basis, revenue for the quarter ended March 31, 2015 was $257.3 million, up 35% as compared to $189.9 million for the prior year period. This year-over-year increase was mainly attributable to meaningful revenue growth at Ergobaby and AFM, together with incremental net sales at Clean Earth and SternoCandleLamp from their acquisition dates partially offset by the decrease in revenue at Liberty and Camelback. Net loss for the first quarter was $25.3 million compared to net income of $7.4 million in the year earlier period. In the 2015 first quarter, we recorded a non-cash impairment charge of approximately $8.9 million at our Tridien subsidiary. In addition, we recorded a loss on the equity method investment FOX of $13.4 million as a result of a decline in FOX's share price during the quarter. Cash flow for the quarter ended March 31, 2015, our seasonally lowest earnings quarter, was $15.5 million compared to $14.6 million for the prior year period. Cash flow for the first quarter of 2015 reflects year-over-year growth at our Ergobaby, AFM and Arnold Magnetics subsidiary businesses as well as positive contributions from SternoCandleLamp and Clean Earth partially offset by the lower results at Tridien, Camelbak and Liberty. Turning now to the balance sheet, we had $20.5 million in cash and cash equivalents and net working capital of $192.3 million as of March 31, 2015. We had approximately $323 million outstanding on our term debt facility and $189 million in borrowings outstanding under our revolving credit facility as of March 31, 2015. We have no significant debt maturities until June 2019. In addition, we had borrowing availability of approximately $207 million under our revolving credit facility at quarter’s end. Our 15.1 million shares of FOX which are reported as an equity method investment on our balance sheet has a fair value of $231.8 million as of March 31, 2015. Turning now to capital expenditures, during the first quarter of 2015, we incurred $4.3 million of maintenance CapEx, an increase as compared to maintenance CapEx of $3.1 million for the prior year period, primarily as a result of the inclusion of the Clean Earth and SternoCandleLamp acquisitions. For the full year 2015, we expect to incur maintenance CapEx of between $18 million and $22 million and growth CapEx between $3 million and $4 million as we continue to invest in the long term health of our subsidiaries. I will now turn the call back over to Alan.
Alan Offenberg: Thanks, Ryan. Our performance for the first quarter was consistent with our expectations. We delivered steady performance across our family of niche leading businesses and continued to operate from a position of financial strength. I would like to close by briefly discussing the M&A activity and our growth strategy going forward. Middle market M&A deal flow was slower at the start of the year as the number of opportunities brought to market was less than anticipated. However, there has been an increase in deal flow in the past two weeks. That said, the market and the pricing for acquisitions remain competitive. As we have previously stated, we will remain disciplined with respect to evaluation and prices and deploying our capital into the right opportunities. Based on our comp success and strengthening CODI's financial flexibility and liquidity, we are well positioned to actively seek additional platform acquisitions as well as add-on acquisitions that are accretive to CAD. Clean Earth and SternoCandleLamp are two recent examples of attractive businesses that met our strict platform acquisition criteria, companies with strong market positions, healthy and stable cash flows, experienced management teams and solid growth potential. We will also continue to reinvest in our current subsidiaries to generate organic growth and increase market share, while maintaining our commitment to provide cash distributions to our shareholders. Before I open up the lines for Q&A, I would like to announce that we will be hosting our 2015 Analyst and Investor Luncheon at the New York Palace Hotel on Wednesday, June 17. In addition to presentations from members of CODI senior management team, Margaret Hardin, the CEO of Ergobaby will be presenting as well. We hope to seeing many of you in attendance at this event. This concludes our opening remarks and we will be happy to take any questions you may have. Operator, please open the phone lines.
Operator: [Operator Instructions] And our first question comes from Vernon Plack of BB&T Capital Markets.
Vernon Plack: I was looking for a little more color on Tridien and what your current thoughts are, how you are feeling about the company, do you invest more in it, do you look for add-ons, do you limit your investment, just some more color would be helpful.
Elias Sabo: The first quarter was not a great quarter for Tridien as there were some margin pressure as you saw. There has been a continual transition from some of the higher acuity more IP-related products to more of the basic non-articulating products that have lower IP. And as a result of that, you've seen some steady margin competition. I think where we stand with the business today is really focused on getting the business back to a level of profitability, enhanced profitability from today. I think with respect to investment in the business, it's really more limited today to CapEx type investments that can improve productivity, enhance margin and strengthen the competitiveness of the business, likely not looking to add on to this business and the any type of add-on acquisitions until we really get it a little bit more stabilized and back to a level of earnings power that we feel better about. But it's been a little bit of a tougher industry over the last couple of years, given the changing in pricing pressures and the competitive dynamics that have really shifted the focus of our customers to cost as one of the more important priority. And as a result of that, there has been some significant margin degradation.
Operator: And our next question comes from Bob Napoli of William Blair.
Bob Napoli: Just by any chance do you have constant currency revenue growth numbers by company?
Alan Offenberg: The question, just to make sure Bob that we heard it correctly was do we have constant currency growth numbers by company. I will let Ryan answer that definitively, but I'm fairly confident that he has it or no.
Ryan Faulkingham: There is no doubt that our subsidiaries as part of their planning do look at their revenue from a currency perspective, I don't have that handy here. But will probably make sense for you to think about what our international sales are in our 10-Q relative to total sales. We don't particularly provide information to give you what region that is, but that might be a good way to think about the level of sales that might be impacted by that.
Bob Napoli: And maybe just a question on Ergobaby, if you would, what would you expect the long-term organic growth rate of Ergobaby to be?
Alan Offenberg: Well, we don't you specific guidance on growth rates. I think I would say broadly we continue to expect Ergobaby's growth rate to be about our portfolio average. We think it's one of our faster growing segments. And historically, this has been a very rapid growing business, so I think we feel comfortable that this will be about the portfolio average, but Bob, I'm a little bit hesitant to give specific guidance as to where we expect revenue our earnings growth specifically.
Bob Napoli: And the last question is just on the Clean Earth and Sterno, those two in particular, I mean, it’s the first year that you’ve owned them in the first quarter, just trying to understand the revenue trends from the fourth quarter to the first quarter, how much seasonality is in those businesses?
Alan Offenberg: I'll speak with respect to Clean Earth, in the first quarter Clean Earth would be a seasonally lower period for them and that's primarily weather related. It's difficult, as you might imagine, for them to be processing dirt from holes that are dug if there is snow on the ground, so can't be dug out. So they can't have the material to process. So traditionally that's going to be a seasonally lower quarter for Clean Earth. I will let Elias comment with respect to Sterno.
Elias Sabo: Yeah, Sterno also has similar seasonality as Alan mentioned with Clean Earth where Q1 is the lowest revenue and earnings producing quarter. And the reason behind that is if you think the products that are used for Sterno, portable predominantly services, food service and hospitality industries, corporate parties, those type of things are all expanded especially in the fourth quarter. So Q1 is historically the soft quarter from a seasonality standpoint for that business.
Bob Napoli: So those businesses are performing in line, I think, as you said upfront with your expectation at this point?
Alan Offenberg: Absolutely. Yes, very pleased with the performance of both of those subsidiaries.
Operator: And our next question comes from Larry Solow of CJS Securities.
Larry Solow: Just on Camelbak, although the quarter was little bit below your expectations, clearly there was some pull forward, so that was timing and the port issues, it sounds like both of them are somewhat under control and you feel like you will make up the difference in the remaining three quarters, is that fair to say?
Alan Offenberg: It is absolutely fair to say.
Larry Solow: And then just on Arnold, I know a lot of the growth is still a couple of years away, some nice performance this quarter, you some of that sustainable, I guess, because some of that was driven on the profit side by some cost cutting, how do you view that?
Alan Offenberg: I think that in our last call, Larry, we did make reference to the fact that we expected Arnold to have a year in 2015 that exceeded 2014 in terms of its financial performance. You certainly saw that in the first quarter and I would reiterate our expectation for Arnold in 2015 to be above the performance of 2014. With respect to your specific segments, I think that we are very pleased obviously with the performance of the precision thin metal segment as highlighted in our comments and we expect that division to continue to be strong. Obviously with PMAG, we anticipate continued solid performance of that business. And even steadier and improving performance at Flexmag, which is a lower margin business for the company, but it is one that has also seen some improvement in this quarter. So I wouldn't want you to take numbers and just annualize them, but I would say we would expect strong performance for Arnold throughout the balance of this year.
Larry Solow: So just in terms of the dollar, are you seeing any, maybe not, but just in terms of are you seeing any competitive issues, following competitors maybe in either I guess Ergobaby or Camelbak, the ability to cut your own prices because of the currency benefit for them or do you see any of that or less spending or anything because of currency or is it just more a translational issue?
Alan Offenberg: We just completed our subsidiary company board meeting, Larry, and I would really classify the issues discussed is more currency translation issues as opposed to specific competitive issues due to currency.
Larry Solow: And then just lastly, just on Advanced Circuits, just any outlook, it seems like some of the other companies I have there, you have government exposure, are you seeing some improvement, what's your guys thoughts on the trends that have been stable, but lack of growth for the last couple of years, any thoughts on that?
Elias Sabo: I think it's probably consistent with the [indiscernible] what you just said. We see that business as stable. The government side, the defense of the business still remains pressured and so I would say until we see that pickup materially, probably the outlook should be stable, consistent with what we did in the first quarter. I mean, the mix will change a little bit, so margins can bounce around a little, but I think stable growth out of that business at this point. The quick turn, the preproduction type stuff that we deliver that is – that business has a little better outlook right now. But overall, it's a relatively stable business.
Operator: [Operator Instructions] And our next question comes from [Leslie Van De Graff] of Raymond James.
Unidentified Analyst: I just had a question on your unrealized loss on derivatives this quarter, last quarter at the end of December you held it between non-current and current liabilities $9.9 million and this quarter about $13.6 million. With that hedging strategy, how long you plan on letting it there with the losses and especially with the natural hedge of your portfolio companies and with the expectation of rising rates at the end of the year or next year depending on how you talk to these days, how long you are going to, will that strategy go on or do you have plans for changing that in the future?
Alan Offenberg: So you are right, in the context of your comment about our natural hedge, which we do have in our subsidiaries and when we entered into this swap, we did take that into consideration and only hedged the value that we perceived to not be naturally hedged by our subsidiaries. With respect to the hedging strategy, we think of it simply as protection against the catastrophic world event that we felt we should have been protected for. So our hedging swap strategy was entered in September for the life of our debt credit facility, it's something that is, as you say, unrealized, it will naturally revert as these swap matures. And you are right in the context of it, it's obviously a bigger P&L impact with where rates have gone, but that will naturally reverse as the term of the swap continues. But our strategy is the same in terms of that and will simply protect us from catastrophic events.
Unidentified Analyst: So if I just keep the current strategy, no increases or anything like that in the future, at least for now?
Alan Offenberg: I mean, to the extent that we – if we buy another business and have more debt, we will kind of relook at that strategy. But as of right now, there is no intent to change it.
Operator: And our next question comes from Brian Hogan of William Blair.
Brian Hogan: My question is on additional acquisition opportunities. One, will you be focused more on add-ons, do you need anything to be bolted on to any of your portfolio companies? And then two, I mean, you talked about it in your opening remarks a little bit, but the deal flow you're seeing out there picking up a little bit and it's competitive, but I assume you're going to stay or look for things within your consumer and industrial niche areas, but just kind of thoughts around what areas you are looking?
Alan Offenberg: Sure, absolutely. With respect to the add-ons for our group of subsidiary companies, that's really an ongoing effort that we never back off from, I think you've seen some activity from various subsidiaries in the past and we will certainly continue to pursue those opportunities to the extent we believe we can make smart add-on acquisitions to our subsidiaries. So that is the consistent strategy that we've always employed that we will continue to employ and it might make sense – more sense for certain of our subsidiaries than others, but I think it's a fair conclusion for you to have that we will always be looking for them and we will pursue them and look to complete them as appropriate. With respect to the new subsidiary company acquisition market, it was a bit slower than we would have anticipated, but it has picked up. And I think that you are right, we will continue to look within our verticals of niche industrial and branded consumer. And regarding opportunities in both of those, we're really not focused on finding companies to slot into a specific vertical, rather we are really looking across both verticals and looking for opportunities that provide great risk-adjusted returns to our shareholders. And again, that's really a consistent approach that we've practiced really since inception and that's what we will continue to do. But as of right now, yes, those are the two verticals that we remain focused on and will stay focused on and our disciplined and patient approach to those acquisitions will remain intact.
Brian Hogan: Which of the portfolio companies are most right for add-ons, I mean?
Alan Offenberg: I think if you look across our group, Advanced Circuits has been an acquirer of add-on acquisitions in the past and it's probably in my opinion anyway still a good candidate to continue to do that. Clean Earth made a recent add-on acquisition that I think is excellent for the business and one that I think continue to be an acquirer. Certainly, SternoCandleLamp has the opportunity, in my opinion, to be an acquirer of add-ons. I also believe that Ergobaby and Camelbak could be great candidates to make add-ons. I think that Elias already commented on Tridien, Arnold certainly could be an acquirer of add-on assets, although based on our experience to date, they maybe just don't have as many opportunities to pursue as others and Liberty has really been much more of an organic growth story as we take market share and build the business. And really that's also been the story with American Furniture as we emerged from a couple of years to now being in a great position of growth and profitability. But that really have been much more focused on investing in building the organic growth capabilities of the business. So hopefully that gives you a little bit more color.
Operator: Thank you. And at this time, I would like to turn the call back over to management for closing remarks.
Alan Offenberg: I would like to thank everyone again for joining us on today's call and following the CODI story. We look forward to sharing our progress with you in the future.